Operator: Greetings, and welcome to the Advantage Solutions Inc. fourth quarter and full year 2025 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. If you would like to ask a question during this time, simply press. As a reminder, this conference is being recorded. Thank you.
Operator: Welcome to Advantage Solutions Inc. fourth quarter and full year 2025 earnings conference call. David A. Peacock, Chief Executive Officer, and Christopher Robert Growe, Chief Financial Officer, are on the call today. David and Christopher will provide their prepared remarks, after which we will open the call for a question-and-answer session. During this call, management may make forward-looking statements within the meaning of the federal securities laws. Actual outcomes and results could differ materially due to several factors, including those described more fully in the company's Annual Report on Form 10-K filed with the SEC. All forward-looking statements are qualified in their entirety by such factors. Our remarks today include certain non-GAAP financial measures, which are reconciled to the most comparable GAAP measure in our earnings release. As a reminder, unless otherwise stated, the financial results discussed today will be from continuing operations, and revenues will exclude pass-through costs. I will now turn the call over to David A. Peacock.
David A. Peacock: Thanks, operator. Good morning, everyone. Thank you for joining us. I want to thank our teammates across the organization for their ongoing commitment successfully serving our clients as they navigate the market uncertainty and volatility, helping them adapt and succeed. Before turning to our results, I would like to highlight several strategic actions we have taken over the past few months to strengthen our foundation for shareholders, employees, and customers and to position the company to drive sustained performance in 2026 and beyond. First, we moved towards refinancing our debt later this month, extending maturities to 2030. We had over 99% acceptance of a new debt package from our lender group. This refinancing is intended to provide operating flexibility and enhance our liquidity profile while helping us achieve our long-term leverage target of 3.5 times or less. This provides us with greater financial flexibility and ensures we have the capital necessary to continue investing in our core capabilities while delivering exceptional service to our clients. This planned refinancing includes a pay down of approximately $90,000,000 of our debt. Second, we further sharpened our portfolio through the divestiture of three noncore businesses. These transactions streamline our focus and allow us to redeploy capital into higher opportunities aligned with our long-term strategy. As a result of these actions and our strong cash flow performance, we ended the year with $241,000,000 in cash and a strengthened balance sheet, positioning us in a place of greater stability and optionality as we enter 2026. Finally, our upcoming reverse stock split supports broader institutional accessibility as we enter our next phase of growth. Taken together, these initiatives increase our strategic flexibility, enhance operational focus, and allow us to move from defense to offense. Turning to fourth quarter results, net revenues of $785,000,000 were up approximately 3% year over year, reflecting an improving trajectory in Experiential Services while Branded Services continue to face cyclical headwinds and Retailer Services face slowing spend and some revenue timing shifts. Combined, our overall company delivered adjusted EBITDA of $88,000,000, which reflects the ongoing mix shifts toward more labor-intensive, lower-margin businesses. Our cash flow generation was strong, and in 2025, we generated $174,000,000 in unlevered free cash flow, a significant increase from $50,000,000 in the first half, representing over 100% unlevered free cash flow conversion, excluding the payroll timing factor. One reason for this was our successful SAP implementation earlier this year. Net free cash flow of $74,000,000 in the second half exceeded our target of 30% of adjusted EBITDA, excluding payroll timing, and as I discussed earlier, our cash position strengthened materially. We believe our liquidity position provides ample flexibility to serve our clients effectively, invest selectively, and further improve the balance sheet. As I mentioned earlier, we further streamlined our portfolio in recent months, including in early 2026, with several small divestitures of noncore businesses, resulting in approximately $55,000,000 in proceeds, further bolstering our cash position. Before discussing our strategy going forward, I want to briefly reflect on how we arrived at this point, both from an external and internal perspective. Externally, consumers continue to be cautious, value-seeking, and selective. This is affecting overall shopping behavior and spending at retail, with lower-end consumers buying more on promotion at lower price points, while higher-end consumers are shifting purchasing habits away from expandable consumption categories to healthier options. These two dynamics affect our business in three ways. One, we can see overall lower commission revenue when we manage sales for CPGs or private label manufacturers. Two, we see CPG and retailer P&Ls challenged, leading to some lower spending on merchandising projects, resets, and remodels. And three, we are seeing overall pullback in traditional marketing as retailers demand more investment in their retail media networks, and many are cyclical in nature. Despite them, we made meaningful progress adapting our business to these conditions to compete more effectively for the long term. Internally, we have been proactively investing in a multiyear IT transformation that concludes this year. These investments required upfront spending that are already driving efficiencies across the business. We expect our capital spending to decline in 2027, reflective of ongoing support rather than transformation investments. We continue to rationalize applications to reduce complexity and support efficiency in our IT platform. We also experienced some client losses in certain areas, particularly where clients became more price sensitive or chose to bring work in house. At the same time, overall retention remains high, and we continue to execute against our pipeline of new clients, reinforcing the fact that there is continued demand for our services when we compete on the full value of our offering. With that context, let me turn to what we are doing to structurally improve performance and strengthen the balance sheet. First, we are improving productivity across the organization, with our centralized labor model serving as a core driver. Better profitability per labor hour. Expanding this rollout remains a key priority for 2026. Technology will continue to be another critical driver of our productivity while also differentiating our ability to better serve our clients and customers. Given our investments in new systems, we are able to rationalize many of our legacy applications and systems to provide a more efficient IT backbone. Our enterprise transformation, including our new SAP and Oracle systems, in addition to our Workday implementation later this year, creates a strong and modern platform to provide insight-driven services to our clients and customers. Our new technology platforms are enabling efficiency gains, better workforce optimization, faster data integration, and sharper visibility into performance, positioning us to operate as a truly insights-driven organization, which we believe will propel us to a leading position in the industry. In parallel and in conjunction with our materially upgraded systems, we are integrating AI where it drives the most impact. One example is AI-enabled staffing and scheduling, which is already making us more effective and efficient, reducing manual work while improving speed, predictability, and labor utilization. Second, we are focused on driving growth that deepens client relationships, expands our addressable market, and leverages the capabilities we have built. Our partnership with Instacart is a good example as it continues to progress, combining their in-store audit capabilities and consumer insights with our retail execution network to help CPG brands improve on-shelf and overall in-store performance. We remain focused on pursuing new partnerships with retailers outside the grocery sector, which would significantly expand our addressable market. Our efforts are focused on retail segments where our capabilities translate well. We will share more as these opportunities progress. Finally, we are leveraging our industry-leading data investments through our alert-based sales system called Pulse. This is an AI-enabled decision engine that integrates proprietary retail data with real-time capabilities to help clients anticipate demand and drive growth while more quickly identifying opportunities. Pulse will help our key account managers either remediate underperformance in an account or accelerate growth by more quickly providing the causal analysis and recommended actions. This was enabled by our migration to the cloud and creation of our data lake, which is helping us ingest and analyze more data than ever before. Turning to our segments, Experiential Services delivered strong Q4 results and stands as the clearest proof point of our progress in 2025. Accelerating demand, improved hiring velocity, higher labor readiness, and more consistent execution drove increased event volumes, stronger execution rates, and better predictability, positioning us well entering 2026. Branded Services remained under pressure, consistent with prior guidance. Softer CPG spending, tighter procurement, and client insourcing continue to weigh on performance. While we are not expecting a near-term inflection, we believe many of these pressures are cyclical. In 2026, our priorities are stabilizing the revenue base and converting new business even faster. Our pipeline of new opportunities has expanded, and we expect to provide more visibility into conversion and win rates as the year progresses. We are also managing costs and continuing targeted investments in data and analytics and partnerships to drive measurable client ROI. Retailer Services results were affected by channel mix shifts, project timing, and cautious retail spending, particularly in grocery. Some activities shifted into early 2026, creating a timing mismatch as costs were incurred in 2025. Overall, while performance varied by segment, the underlying theme is clear. Execution discipline and operating consistency are improving, particularly in Experiential Services, which gives us confidence looking ahead. Turning to our outlook, we are approaching 2026 with cautious optimism as we shift from heavy investment to enhanced execution. 2026 is the final year of our elevated IT spending, and we expect to begin seeing the operating benefits of these investments flow through our results. While the industry faces continued macro headwinds, we expect revenue to be flat to up low single digits excluding divestitures, driven by continued momentum in Experiential Services, a more stable trajectory in Retailer Services, and a move towards stabilization in Branded Services over the course of the year. We expect adjusted EBITDA to be flat to down mid single digits excluding divestitures. I want to be direct about why. This reflects ongoing macro uncertainty and mix shifts toward more labor-intensive, lower-margin services while some higher-margin businesses remain challenged. That said, execution discipline, labor productivity initiatives, and technology investments should drive an improving margin profile as the year progresses. Cash flow remains a core strength and priority. We expect unlevered free cash flow of approximately $250,000,000 to $275,000,000 for the year and net free cash flow conversion of at least 25% of adjusted EBITDA, excluding the incremental costs related to a potential debt refinancing. This reflects continued working capital discipline, including further improvement in our DSO performance and a steady CapEx profile as we enter the final stage of our IT transformation. Overall, this outlook reflects both the realities of the current environment and our confidence in the progress we are making. We are building a more durable, predictable, and cash-generative company, and the actions we are taking across labor, technology, and execution position us well over time. I will now turn the call over to Christopher Robert Growe for the financial results.
Christopher Robert Growe: Thank you, David, and welcome, everyone, to our call today. I will review our fourth quarter and full year 2025 performance by segment, expand on David's guidance commentary, discuss our strong cash flow results, and improved capital position. Starting with Branded Services, in the fourth quarter, we generated approximately $259,000,000 in revenues and $39,000,000 adjusted EBITDA, down 929% year over year, respectively. For the full year 2025, Branded Services generated $1,000,000,000 in revenues and $143,000,000 in adjusted EBITDA, down 921% year over year, respectively. Performance reflected sustained softness in CPG spending throughout the year, which continued to pressure results in the fourth quarter, along with challenges in the sales brokerage and omni-commerce marketing businesses. Insourcing remains a headwind; we believe this is cyclical in nature. We are focused on converting our large and expanded pipeline of new business to counteract this trend, continuing to manage costs tightly while prioritizing execution, and positioning the business for recovery as client spending improves. In Experiential Services, fourth quarter performance once again exceeded our expectations. We generated approximately $280,000,000 in revenues and $28,000,000 adjusted EBITDA, up 19115% year over year, respectively. Results reflected higher event volume, up 15% in the quarter, and faster and more responsive hiring, with execution rates exceeding 93%. The EBITDA margin was once again in the double digits, as the incremental margin in the quarter reached over 30% despite elevated labor-related costs, including workers' compensation and medical benefits. For the full year 2025, Experiential Services delivered $1,000,000,000 in revenues and $101,000,000 adjusted EBITDA, up 834% year over year, respectively. This segment experienced a strong second half finish to the year, supported by our hiring initiatives, strong execution, and robust demand, supporting momentum as we move into 2026. In Retailer Services, fourth quarter revenues were $246,000,000, with adjusted EBITDA of $20,000,000, up 1% and down 22% year over year, respectively. As David mentioned, performance was impacted by delayed projects leading to costs being incurred ahead of revenue being recognized, and ongoing pressure in advisory and agency work due to channel mix. A portion of planned project activity shifted out of the quarter and into early 2026, while associated labor onboarding and training costs were already incurred. We also saw higher workers' compensation and medical benefit costs in the segment as well. For the full year 2025, Retailer Services generated $944,000,000 in revenue and $87,000,000 adjusted EBITDA, down 212% from the prior year, respectively. Looking forward, we believe this business is positioned to grow in 2026 in a more normalized environment for retail project work, expanding our retail partners beyond the grocery segment, and an exciting suite of new value-added services we are developing. For the year, shared services and IT costs increased as systems move fully from build to live operations, which is in line with our expectations. We see shared service costs rising modestly in 2026 inclusive of higher IT spending as we near the end of our transformational IT investments. We do expect the growth in these costs to moderate after 2026, allowing us to capitalize on the efficiencies created by our shared service infrastructure. Moving to the balance sheet and cash flow, we ended the quarter with $241,000,000 in cash, up roughly $40,000,000 sequentially. The strong cash performance was driven by improved working capital performance, proceeds from recent divestitures, as well as the partial settlement on the Take 5 litigation. Specifically, we sold our minority interest in Action Food Service in September for approximately $20,000,000, and we sold Small Talk, our small marketing-oriented business, in December for approximately $20,000,000. In January, we divested part of our stake in Advantage Small in for $27,000,000, and we also received the final $27,500,000 cash payment in early 2026 from the sale of June Group. We did not repurchase debt or shares during the quarter. Our net leverage ratio was approximately 4.4 times adjusted EBITDA at quarter end, in line with the third quarter but above our long-term target of 3.5 times, and we are executing against a clear plan to reduce. Given our strong cash position, we expect to apply approximately $90,000,000 to debt pay down as part of our refinancing. Over the course of 2026, we expect our strong cash flow to contribute to continued debt paydown. With cash on hand, expectations for improved cash generation in the year, and approximately $440,000,000 available under our revolver, we believe our liquidity position supports our needs amidst a still volatile macro environment. Turning to cash generation, DSOs improved during the fourth quarter to approximately 57 days, the lowest level in our history, reflecting improved working capital management, intense focus on collections, and normalization following earlier systemic disruptions in the year. Optimizing DSO has been a priority for the organization, and we will continue to make progress in reducing DSOs as we move through 2026, which will contribute to additional cash flow generation. CapEx was approximately $24,000,000 in the fourth quarter due to heavier IT-related spending against our transformation plan. For the full year 2025, CapEx totaled $53,000,000. Turning to cash flow, we generated approximately $75,000,000 of adjusted unlevered free cash flow in the fourth quarter, and the conversion rate was nearly 130%, excluding the payroll timing shift. Cash flow performance exceeded our expectations, driven primarily by strong working capital execution, including improved DSOs. For the full year 2025, adjusted unlevered free cash flow achieved an approximately 80% conversion rate, excluding payroll timing, reflecting a materially stronger second half performance. As David mentioned, planned extension of our debt maturities from 2027 and 2028 to 2030 provides meaningful financial flexibility for the business while improving the balance sheet over time. We believe this outcome will be favorable for all stakeholders and allow us to execute our strategy and remain focused on delivering improving operating and financial results. The strategies we have in place are the right ones to achieve that goal. Turning to our outlook for 2026, our guidance reflects a measured and prudent view of the macroeconomic environment coupled with confidence in our cash flow generation. Excluding divestitures, which contributed approximately $20,000,000 to revenues in 2025, we expect revenue growth to be flat to up low single digits, with continued strength in Experiential Services, a more stable performance in Retailer Services as project timing normalizes, and a gradual recovery profile in Branded Services over the course of the year. Also excluding divestitures, which contributed over $10,000,000 to adjusted EBITDA in 2025, we expect adjusted EBITDA growth to be flat to down mid single digits year over year, reflecting continued macroeconomic headwinds, the last year of our major IT investments, and mix shifts toward lower-margin, labor-intensive businesses, particularly within Experiential Services, but also within Branded Services. While we expect execution and profitability to improve through the year, our guidance assumes a conservative margin profile early in the year and does not rely on a near-term inflection in Branded Services. Cash flow remains a core focus in our outlook. We expect unlevered free cash flow of $250,000,000 to $275,000,000 for the year, with net free cash flow conversion of approximately 25% of adjusted EBITDA, excluding any incremental debt refinancing costs. This outlook is supported by improved DSO performance and disciplined working capital management and a steady CapEx profile. We expect CapEx to be approximately $50,000,000 to $60,000,000 in 2026, consistent with 2025 levels, and this represents our final year of elevated CapEx levels before we start to see a meaningful reduction in future years. While we do not provide quarterly guidance, we do expect a widening of the first half/second half adjusted EBITDA breakdown, with the second half representing approximately 60% of EBITDA. Importantly, this guidance reflects our current assumptions around consumer spending, the labor environment, and timing of known project activity. As always, we aim to plan our business prudently and responsibly. Thank you for your time. I will now turn it back over to David.
David A. Peacock: Thanks, Christopher. Our expertise and range of services position us well to navigate through 2026 with resilience and agility. We continue to execute with discipline and advance our productivity and growth initiatives. We are making measurable progress in our transformation and see proof points across the business. Finally, our focus on long-term shareholder value creation is unwavering. Operator, we are now ready to take questions.
Operator: Thank you. We will now begin the question-and-answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad to raise your hand and join the queue. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset to ensure that your phone is not on mute when asking your question. Again, press 1 to join the queue. Our first question comes from the line of Lucas Morison with Canaccord. Your line is open.
Lucas Morison: Hey, guys. Thanks for taking the question here. Maybe just first on the debt exchange. It seems like clearly the right move to me, extending the runway to 2030 and removing that near-term maturity risk. I guess my follow-on question is just around the rate step-up from 6.5% to 9%, and whether that changes the sequencing or urgency around getting into sub-3.5 times leverage, and just sort of your path to that level. Thanks.
Christopher Robert Growe: Yep. Thanks, Luke. Just to give you some perspective on that, you are right. It does step up, and obviously, the term loan steps up in cost as well. Your overall borrowing rate is going up, call it 150 basis points, roughly that. And I think through this time, to get that incremental time in terms of our ability to extend the debt out to 2030, there was an incremental cost related to that, which we were aware of. I think you will see roughly $10,000,000 or so of incremental interest costs in 2026, and we will see the full sort of annualization of those costs in 2027. I would just note that on the term loan, it is SOFR plus 600 basis points, so SOFR has come down. That has led to a little less incremental cost. But I think what I would say is that certainty around the runway we have right now to 2030, another four-plus years for the debt, that incremental cost, I think, was very much worth it. It gives us the ability now to invest. We have been investing heavily—transformation investment—very heavily back in the business. We are calling this year to be the end of that, and now it gives us the time to put that into action, if I can say it that way, to start to really accelerate the growth of the business.
Lucas Morison: Yes. Makes sense. And then maybe just to follow on, just looking at the guide, you explained the spread between revenue and EBITDA growth a little bit. Maybe just double click there and help us think about the structural cost base and what is the eventual path to those two lines converging over the medium term?
Christopher Robert Growe: Yes. I mean, I think when you look at the business, we see a couple of drivers, especially with the fourth quarter. One, we had unusually high labor costs, largely in the benefits area, due to higher claims. This is something where we have brought in a new benefits adviser immediately and have started looking at options to bring those costs in line. We have seen pretty significant inflation across the benefits lines over the last couple of years. And then the other has been mix within our business, both cross-segment and intersegment mix. And this is basically lower-margin businesses, some of our labor-intensive businesses, growing faster than some of the businesses that are less labor intensive. I would say that as we look to stabilize the Branded Services segment in the back half of this year, later part of this year, and then obviously aim to grow that long term, that is going to help. And then we are also seeing strong incremental margin in our labor businesses. And so you are going to get to a point where the margins that are being generated from some of these labor businesses get up to the average margin in our overall business. So we do see that arresting over time and those lines ultimately inflecting differently, where you have got EBITDA growth and revenue growth either more in line or even EBITDA performance even ahead of revenue performance. Last thing I would say on it is some of the technology adoption—David talked a lot about our new systems and some of the efficiencies that will come with those. I think like a lot of firms, we are early in the stages. I think anyone who says they are late in the stages is probably not truthful on the AI front, and there are significant efficiencies to be gained there, both what I call in personal productivity but also in enterprise-wide productivity, that we are just, I think, scratching the surface like most companies, but excited about the potential.
Lucas Morison: Excellent. Thank you.
Operator: Our next question comes from the line of Gregory Scott Parrish with Morgan Stanley. Your line is open.
Gregory Scott Parrish: Hey, guys. Good morning. Thanks for taking my question. Maybe I will just start with the revenue guide, flat to up low single digits. 2025 was down 1.5%. So maybe help bridge that step up, if you will—what is baked into your expectations on which segment is improving implied in the guide to get there in 2026?
Christopher Robert Growe: Yes. Greg, it is Chris here, and thanks for your question. I would just say that in the fourth quarter, we did grow revenue, so that is a good indication as the year went on. You have seen that really significant step up in the growth of Experiential. We talked last quarter and the last couple quarters about the demand signals there being very strong, and then really want to give credit to the organization to come together to achieve the hiring needs and the execution rates that we needed to satisfy that demand. We talked about 93% execution. I hope that is even higher here in 2026 against this rising demand. So that is going to be a key driver of our 2026 momentum, and there is certainly momentum in that business. I think we do see the Retailer segment growing. We do think Branded Services moves more towards stabilization throughout the year. So I think that is one that will be a bit of a drag early on, but get better as the year goes forward. I think that is the construct we expect for the growth in the year. I think the difference versus Q4 is we do expect the Retailer Services segment to grow, and that will be the key component of what we expect for 2026 growth in revenue.
Gregory Scott Parrish: Okay. That is helpful color. And maybe just double click on Branded here. I think you said you are not confident in an inflection near term, but maybe just help us—what is the catalyst here over the next six, nine, twelve months to get that on the right track in the second half? I mean, is it mostly market volumes, or are there other factors that you think could drive upside?
David A. Peacock: No. I think some of it, Greg, is we saw some client losses where price became a significant issue relative to the competition, and we are lapping those, number one. Number two, frankly, we have got some new leadership in position and really a renewed focus on what I call the foundations of the business. This is not a difficult business. I tell our team all the time, if you simply do what you say you are going to do and follow up consistently with both our retailer customers and our CPG clients, it is amazing how easy this business can be. And, frankly, I think between transformation and some macro noise in the market that has certainly been difficult—and disruptions around pricing that can relate to tariffs and other things, disruptions in supply chain. We still have some clients that are struggling to meet market demand with supply, and just other macro headwinds. I think we have allowed ourselves to get too distracted and need to be focusing on executing at peak levels despite the conditions we may be competing in. So we feel very good about some of the things we are seeing with clients, the way we are operating with them, the fact that some of our clients that we have had long-term relationships with are starting to shift accounts to us to cover, versus insourcing, and maybe reversing some of those decisions. And so I think all of these things would give us confidence as we head into the latter part of 2026 about the Branded Services space. And then our new business pipeline has really never been this robust, if you will. And a lot of it can be market driven. So it is not always the large CPG that you are thinking about. It can be a lot of the emerging brands, the mid-sized CPG companies, and then just picking up a couple of accounts with various CPG companies at the market level where there is not a lengthy RFP process, but the conversion rate is much quicker. So that gives us some optimism as we head into 2026.
Gregory Scott Parrish: Great. That is very helpful. And maybe just lastly for me on the divestitures. Could you size how much revenue that is? I think small ones do, but I do not know. Maybe just sort of rough numbers, like, what the divestitures would impact. Thanks.
Christopher Robert Growe: Sure, Greg. It is Chris. And I did give these in my script, so you can just go back to check those. But $20,000,000 of revenue in 2025, then about a little more than $10,000,000 of EBITDA. And I think you hit the nail on the head. The reality of the two of those businesses that we divested—think our Action Food Service stake, which we have already told you about, which occurred back in the third quarter, and then the Advantage Small in have no revenue effect. But they have an EBITDA effect. And then you have got the Small Talk business, which is a marketing-oriented business that we sold in December. That is the totality of the revenue. So when I pick the revenue from that one business, but then the EBITDA from all three, I get that over $10,000,000 effect on EBITDA. So the point is to try to keep that in mind. Our guidance is based off, call it, the pro forma base, excluding that $10,000,000.
Gregory Scott Parrish: Yep. Okay. That is helpful. Okay. Thanks, guys.
Christopher Robert Growe: You got it. Thank you.
Operator: There are no further questions at this time. I want to turn the call back over to David A. Peacock for closing comments.
David A. Peacock: Thank you. We want to thank everybody for joining, and we look forward to connecting with this group next quarter. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.